Operator: Ladies and gentlemen, welcome to TotalEnergies First Quarter 2023 Results Conference Call. I now hand over to Patrick Pouyanné, CEO; and Jean-Pierre Sbraire, CFO, who will lead you through this call. Sir, please go ahead.
Patrick Pouyanné: Hello, everyone. Good morning or good afternoon, wherever you are. I'm here today together with Jean-Pierre, we’ll give you, I would say, review we have a very good quarter that we had on the first quarter of 2023. I just wanted as an introduction to comment the news, which came this morning around about dawn. The future of our Canadian assets, as you know, we explained that in September at our CMD, we are planning to organize the spin-off of our Canadian assets. We went through the process and in the meantime, because fundamentally, I think we are very serious about making this spin-off reality. We attracted some unsolicited offers in the last months. And one of them has materialized, and I think at a value, which is quite attractive, CAD5.5 billion cash plus CAD600 million of additional payments under certain conditions. The value, which is fitting with the expectations of the initial quotation, which were given to us between CAD5 million to CAD6 billion, and of course, it's coming from Suncor, who knows very well one of our two assets. And Suncor will comment a little later in the day, his own view of the deal. For us, so it's fitting the value. It's a straightforward I would say, way to divest the assets as we are planning to do it straighter away. And from -- so from the company and from the shareholders' point of view, the Board considered that it was this alternative was worth to be considered and approved yesterday to move forward with this transaction. Of course, the most important part of the discussion beyond this -- comparing both alternatives was about to distribution to shareholders because, as you know, the spin-off was meant in fact, a distribution in kind of some shares of the NewCo. So we more perfectly has that in mind and the guidance that we have decided to give to our shareholders today is that last year, we put a higher guidance on the payout to shareholders of 35% to 40% of cash flow from operations, which were down in 2022, 37%, there because we'll have, I would say, additional proceeds from these sales, the divestment. The guidance we gave you today is at least 40%. I mean, that means, by the way, I told you before that it was not -- there was no ceiling, the 35%, 40% was the range of target. Today, we told you that the Board decided that to increase or to enhance, I would say, for 2023 this distribution to shareholders with at least 40%. So consider 40% plus, you have to get the plus, something of at least 40% of the cash flow from operations in 2023, which I think is a good news for our shareholders, and which, of course, maintains the course of the company. You have noticed that in the first quarter, we maintained a buyback of $2 billion, like last year's last quarter. And the second quarter, we repeated the $2 billion. So, I think it gives this guidance for the distribution to shareholders for 2023, at least 40% of our cash flow from operations should give you some comfort about the will of the Board to have, I would say, to maintain or to develop even an attractive return for shareholders. So, I will not be longer. I think I will give the floor to Jean-Pierre, who will be happy for the first time of -- as you know, today, we disclosed the Integrated LNG and Integrated Power segment results for the first time. I told you during the last investment day that we should -- we are targeting 10%. In TotalEnergies, we are not 10%, but at 9.9%. But it's, I think comforting some expectations about the investments we are doing in the Integrated Power segment. Jean-Pierre, the floor is yours.
Jean-Pierre Sbraire: Yes. Thank you, Patrick. So, 2023 is off to a good start. Once again, I think we demonstrate our ability to generate strong results even [Technical Difficulty]
Operator: Ladies and gentlemen, please hold the line. The conference will resume shortly.
Jean-Pierre Sbraire: Okay. Quarter-to-quarter, Brent was down 9% to $81 per barrel and European gas dropped by 50% to $16 per million btu. In this context, TotalEnergies reported first quarter 2023 adjusted net income of $6.5 billion, a decrease of only 13% and a strong cash conversion with a debt adjusted cash flow, DACF, close to $10 billion. With Brent above $18 per barrel and European gas above $15 per million btu, still high by historical standards, we are continuing to deliver excellent profitability with 25% [Indiscernible] in the first quarter. Commodity prices have been volatile, albeit still at high levels. Oil price still fell briefly below $17.5 per barrel in March, largely on fields on economic slowdown before rebounding in April on us on OPEC+ quota reductions. Refining margins are easing down after several quarters of extremely high diesel cracks in the same context of fears of economic slowdown, high product inventories, largely fueled by Chinese exports, and the quicker-than-expected reorganization of Russian flows following the European environment. Gas prices fell due to mild weather. We expect prices to remain stable and still restarting the beginning in the second half of the year. Future markets are anticipating prices next to $20 per million btu for this winter. For the first time, as announced, we are reporting Integrated LNG and Integrated Power as independent segment. These two growing segments are, as you know, at the core of our transition strategy. The restated historical data for 2021 full year and 2022 quarters is available in the result prices. In terms of scale, integration and performance were unmatched among our peers in both ROV activities. We are already widely recognized on having a very strong performing globally integrated LNG portfolio in that business. Mainly through countercyclical acquisition, we have achieved our position as the largest lifter of low-cost US LNG more than 10 million tonnes, and the largest regas provider in premium priced European markets around 20 million tonnes after the recent start-up of FSRU in Germany in Lubmin. Our unmatched access to the European market created a competitive advantage for our trading operations and makes us more competitive as a partner in securing future resources. For example, our recent contract awards in Qatar. We launched this quarter the fees for Papua LNG, and this will contribute to the future growth of our portfolio with close to 2 million tonne equity production. Last year, with LNG sales of 48 million tonnes, this business generated $10 billion of cash flow. In the first quarter, sales were 11 million tonnes and cash flow was $2.1 billion. In the first quarter, 2023, LNG sales were down 70% quarter-to-quarter and 13% year-on-year, reflecting mainly a decrease in spot sales due to lower LNG demand in Europe linked to the mild weather. Integrated LNG generated adjusted net operating income of $2.1 billion, down only by 10% compared to the previous quarter, excluding Novatek, mainly due to lower prices. Given the evolution of oil and gas prices in recent months and the lagged effect on price formulas, we anticipate that our average LNG selling price might decrease by another and 10% to 15% in the second quarter because of this time lag, versus $13.3 per million Btu this quarter.  Operationally, we expect benefits from the restart of Freeport LNG in our Q2 23 LNG sales. On the two new segments, integrated power is the newer business activity in the company. Mainly through the smart acquisition of early-stage development projects, we have grown this business to 18 gigawatts of gross installed renewable power generation, our two largest markets being Europe and the US. And we are solidly on track to reach 38 gigawatt by 25 and then 100 gigawatts by 2030. Our flexible power generation capacity and growing positions in energy storage are fully integrated into the business strategy, allowing our traders to maximize our performance. Developing power projects, generating electricity as well as integrating the trading and saving of power as we do of our energy commodities is a natural extension of our business. Last year, we met power production of 33 terawatt hour. This business generated about $1 million of cash flow. For the 12 months ended March 2023, integrated power generated or overachieved of 9.9%, next to 10%, consistent with our stated objective to achieve double-digit profitability for this activity. Going into the details of the results of these new segments now. Renewable power generation capacity was 18 gigawatts at the end of this quarter, an increase of more than 1 gigawatt quarter-to-quarter, thanks to 0.6 gigawatts from the acquisition of Casa dos Ventos in Brazil and 0.3 gigawatts from the connection of the Seagreen offshore wind farm in the UK. For the integrated power results, the best reference for comparison in Q1 2022 seems like for the Marketing and Services business, the Gas and Power marketing business is still. Net electricity generation was 8.4 terawatt hour in the first quarter, up 10% year-on-year. due to growing electricity generation from renewal, offsetting the lower generation from flexible capacity in the context of lower demand. Integrated Power postpaid adjusted net operating income of $170 million. This figure is significantly higher compared to the first quarter of 2022 adjusted net operating income which was negative at minus $82 million. Last year was heavily impacted by a huge increase of supply costs. This year, all segments have done better. Gas-fired power plants, renewable supply and trading despite the negative impact of winter seasonality of supply in the power marketing business, higher cost of supply in winter versus equal invoicing along the year for many customers. Now, moving to the oil parts of our business. Operationally, our oil and gas production was 2.52 million barrels of oil equivalent per day, up 2% quarter-to-quarter, excluding Novatek. This includes the acquisition of a 20% interest in the [indiscernible] already producing oil field in the Emirates, starting from mid-March. The production also benefits from new project contribution, notably the startup of gas production of blockchain in Oman and the ramp-up of plus two in Norway. Production for Q2 2023 is expected at around $2.5 million equivalent per day. Exploration and Production reported adjusted net operating income of $2.7 billion down 22% quarter-over-quarter, excluding Novatek due to lower oil and gas prices. In the Downstream now, Refining & Chemicals contributed $1.6 billion of adjusted net operating income, up 9% quarter-to-quarter and 44% year-on-year despite the pension protests that were ongoing in France at the end of the quarter, thanks to the strong refining margins. Refined utilization rate was at 78%. For Q2 2023, we expect the refining utilization rate to increase above 80%, given the end of strikes in France. Marketing and Services results are stabilizing at a level of around $300 million of adjusted net operating income, $280 million for the first quarter of 2023, up 3% year-on-year despite sales being 6% lower. This demonstrates that our strategy of value over volume is working. Overall, at company level, pre working cap was $9.6 billion in the first quarter, plus 5% quarter-on-quarter despite the lower price environment I already commented as the fourth quarter 2022 was impacted by exceptional taxes, notably the $1.1 billion European severity contribution mainly impacting LNG and E&P to a lesser extent. There was a $4.5 billion working cap builds in this first quarter of 2023. This is an exceptionally high build for the first quarter mainly related to higher crude and petroleum product inventories of on water, notably due to the impact of the pension law protest in France. This is an exceptional element, which explains $1.4 billion of working cap build and will disappear next quarter. Second factor is the seasonality of the gas and power marketing businesses, the gap between the seasonal cost of supply and the fixed monthly B2C clients' payments. And of course, you have more traditional effects of lower prices on tax and trade payables that explain this working cap build in the first quarter 2023. Much of the part of this working cap build will reverse in the next quarter, notably the higher inventories related to protest in France and the impact of seasonality for the gas and power marketing business. Also, there was higher net investment in the first quarter at $6.4 billion, including $3.3 billion for acquisition, mainly the acquisition of a 20% interest in SARB and Umm Lulu concession, the payment relating to the acquisition of the stake in North East project in Qatar and the stake in the joint venture with Casa dos Ventos in Brazil. Our guidance for 2023 net investments remain unchanged at $16 billion to $18 billion. Net investments include acquisitions and divestments. So the sales of petroleum assets that Patrick commented, for $4.1 million, with the closing expected in Q3 should be complete in the envelope. We recently announced sale to [indiscernible] for $3.1 billion is also expected to be closed by year end. Encouraged by the strong first quarter results, the Board confirmed the 7.25% increase for the first interim in 2023 to €0.74 per share, as well as a repurchase of $2 billion of shares in the second quarter 2023. And I think now we can go to the Q&A with Patrick. 
Operator: Ladies and gentlemen, this concludes the – sorry. Thank you, ladies and gentlemen. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Oswald Clint of Bernstein. Please, go ahead.
Oswald Clint: Good afternoon and thank you very much for the time. Yeah, I'm happy to guess the plus on the 40%. And if I was to go up into the mid-40s, I guess, I see the issues…
Patrick Pouyanné: No, no, no, no.
Oswald Clint: But the range becomes…
Patrick Pouyanné: At least 40, at least 40. Forget the plus. At least 40. I think some of your colleagues can found what it means, so you can guess.
Oswald Clint: But, I guess, the question is, is the 40% a number we could think about when you have good divestments topping it up. And if not, we should think more around the 35%. And then, just related to that, is there any Novatek dividends included here? I know Novatek declared a dividend last week. It's up quite materially. Do Total expect to get anything in 2023 in terms of the cash flow. And then, the second one is just, Mozambique LNG, lots of momentum, lots of discussion from the President recently. I think, you're still hoping to secure some of the favorable cost terms, construction terms. Any update you could provide us on that side of it, please? Thank you.
Patrick Pouyanné: Okay. No. Oswald, we gave you a guidance 35, 40 telling you that it's neither certify the floor, but there is no thing. And last year, we've done 37. So that means that, in fact, it's not monitored by specific figures. So it's not 35 certain time and 40 over time. The only point today, what makes a difference is that we have -- the Board announced a spin-off. So it was a dividend in kind. So we have a, sort of, form of commitment from the Board to our shareholders. And so the discussion that we -- as soon as we decided to take the route of direct sales, we are committed somewhere to have a reward to our shareholders. And so the decision yesterday was, at this stage we don't know if it will go for buybacks or special dividends. Let's look to what will be at the beginning of the year as always the proceeds of the sales are not yet, I would say, in the treasury of Jean-Pierre. So let's close -- and let's take time to see where we go in the year, but the decision was, it's an opportunity and a commitment link, I would say, to the decision of the spin-off of the sort of dividend in kind. We translate that as we go beyond what we announced. So at least 40% or at least 40% means 40% plus. And then as -- and so it will be then discussed either buyback or dividends. We have noticed that for the time being, we have maintained the buyback at $2 billion per quarter for the first two quarters, despite the fact that the environment has softened we did not decrease it. So there might be a chance that we could maintain the $2 billion around along the year. And then I think if you make some math in your model, you will find something above 40%. Novatek, I don't know, again, you know my question. The question is -- and you have news -- permanent news coming from Russia. Yesterday, I've seen that the Russian authorities wanted to sanction more European Western companies. So now -- so it's difficult to answer to you. Yes, there was -- again, we are no more in the governance of Novatek. As you know, we are just -- we are out of that. It's no more consolidated in our accounts. So yes, we have seen that there was a decision of a dividend.
.: Mozambique LNG, but the good question, update on the cost terms, you have understood that it’s last step before to restart. So some -- I commented recently that we need the contractors to be reasonable. Some of them are not. So we will repeat some of the packages because there is no way for us to accept some end new costs. We have paid what we had to pay because we stopped the project and we have to restart the project that had an impact, obviously, the stop and restart. We don't see why we should pay more than that. And so that's where we progress. So I think when we will be ready, we'll come back to you on the -- but I think today, it's premature again because we are -- our teams, the project team is working with the contractors with a view to be able to announce the project, but under the conditions that the costs are controlled. That's fundamental to us.
Oswald Clint: Excellent. Thank you.
Operator: The next question is from Christopher Kuplent of Bank of America. Please go ahead.
Christopher Kuplent: Thank you very much. Patrick, I'm going to ask you probably the same question again, if you don't mind. I think what I've heard looking for clarification is the decision before the disposal to Suncor was to basically give proceeds to shareholders directly. Is that a principle we should continue to talk about and to consider the 4 billion as effectively an add-on and then we can run our CFFO payout numbers as long as we like. So that's my question, just looking for confirmation. And lastly, second question, slightly connected to that. You've done, as you've highlighted, more than 3 billion of acquisitions in the first quarter. You’ve announced disposals that go well beyond this, but if we accept that the 4 billion disposals ought to be distributed to shareholders, you're kind of running on an even number for the full year. And I appreciate you're not likely to give us a number, but I wonder how big the Total Eren completion looms and whether you can confirm that, that is baked into your 16 billion to 18 billion guidance. That would be it. Thank you.
Patrick Pouyanné: No. Chris, I need to clarify. We never said that the 4 billion will go back to shareholders. By the way, it was not the case in the spin-off Can, if you remember correctly, first, there is a -- I would say, an enterprise value of -- which was around CAD5 billion to CAD 6 billion, let’s say to CAD4 billion to CAD5 billion, where this company would have a debt, which would have left a proceeds for the company, then we are ready to spin-off to keep 30% on all sides. So if you make your math, you are 5 billion, probably 4 billion. And again, it's not the way we expressed it. We expressed it and I can only repeat what we've said is that the decision of the Board is that -- and so by the way, second remark, proceeds of sales does not impact the cash flow from operations. The cash flow from operations are reduced basis in all the way we communicate and in our results and accounts do not integrate the cash from divestments. So we have an amount of cash flow from operations. As you know perfectly, last year, we had $46 billion at $100 per barrel. At 80, I think will be between $45 billion and $40 billion. So then probably more – in this environment first quarter of this quarter, the cash flow from operation, I think, is something like -- it's 9.5 billion, so if we have four quarters of 9.5 billion, it will make 28 billion. If you make 40% plus, you can find what will be the guidance of payout to shareholders, you deduct the dividend, which is more or less between according to the -- you have all the figures on the dividend. You can even calculate it for all the quarters, you have the last payment of €0.74. The only unknown is exchange rate euro dollar. So that's -- and then you'll find what could be the amount. The question for the Board was is it for full buyback shares or is it through share buyback or through special dividend, that will be discussed and we will see along the year. The feeding on our side is that as we consider that the share of the company is low compared to some US peers and there is room for improvements, increasing -- maintaining -- not increasing, but maintaining a share buyback. It's probably a good investment and demonstrating the trust to our shareholders and to investors in the future of the company. Your other questions, yes, there were some acquisition this year, but we cannot monitor quarter by quarter. There were also two big announcements, sale announcement, the divestments of the European network, plus this Canadian divestment, so we have the proceeds. Totally, there is no secret. I think it was mentioned. Of course, TotalEnergies is integrated in 16 billion guidance that we don't change the guidance, neither on way or the other way, because I'm not fully sure that all the proceeds, I think Canada should come this year, because it's quite an easy process infact, but on the other side, the European network has more to do, in fact, on carbon energy, et cetera. So everybody is working to close the deal before year-end and both parties want to do it, but you are now sometimes you have entity. So TotalEnergies integrated and Total Eren, I think in cash is something around $1.5 billion to $2 billion that I think we already mentioned that.
Christopher Kuplent: That's great. Thank you, very much Patrick, for the clarification. May I add one quick follow-up? Could you give us the details around the carrying value of your Canadian assets that that are to be sold?
Patrick Pouyanné: What is a value? You mean the capital employed in our balance sheet.
Christopher Kuplent: Yes.
Patrick Pouyanné: It's around $5 billion.
Christopher Kuplent: Perfect. Thank you.
Patrick Pouyanné: And there will be a capital gain. I mean there will be a positive result in our account, but I would say it's an exceptional results. I mean contact control of my…
Jean Pierre Sbraire: Yes, it will be treated as an adjustment in our accounts.
Christopher Kuplent: Thanks.
Operator: The next question is from Irene Himona of Société Générale. Please go ahead.
Irene Himona: Thank you, very much. Good afternoon. Two questions. First of all, on your E&P tax rate, please, which increased in the quarter. Can you remind us, what is included in the first quarter in terms of upstream windfall taxes? And then, at current price levels, what should we anticipate for that average E&P tax for the full year? And then secondly, you referred to the significant inflation in renewables. Could you possibly talk around inflationary pressures you're seeing in your upstream operations, please? Thank you.
Jean-Pierre Sbraire: Patrick will take this question regarding the tax rate. So of course, the Q1 has been prepared the same way as the 2022 accounts. And at that time, I explained to you that the EPS tax profit in the UK is treated in the adjusted net income. So its impact -- it has an impact in the 22% tax rate. And of course, it has an impact in the Q1 2023 tax rate. So the amounts representing in relation with this, we start $0.4 billion, just to give you one figure. On the opposite, all the exceptional contribution in relation with European decision to put in place an exceptional contribution in 2022 was treated in '22 as an exceptional element because it's a next element. Of course, we continue with this treatment, so not impacting the tax rate in the first quarter '23.
Patrick Pouyanné: Cost inflation industry. I mean, again, it's, I think, for timing of OpEx per barrel is at $5.5 per barrel. So in our operations, I do not see impact is, by the way, a very good performance from the team. On the rigs, yes, we know that there are the rigs or departure rigs are more expensive, but we are benefiting on the fact that we had quite a number of long-term, medium-term contracts. So we have seen some impact that's limited. And then you have the where we had seeing some inflation was more on the steel last year. We resisted by the way, we are right because the steel went down again. So again, the question is more, I think that we are facing the will of some contractors to get some money back from, I would say, bad years, a look to our results, and so they want to sort of share of the cake. But again, it's a question of supply and demand for me at the end. There is no reason to accept to pay more if you supply and demand is not stretched. And I think it's not stretched on many elements. This is why I was mentioning Mozambique. We will go to bid when we had the feeling that the contractor, which were awarded a contract, try to benefit from a situation, but we are not in the area and to go to know where the market, the best is to go to tender. So this is what we will do on these projects. But for me and honestly, a source of inflation last year, which were more of the steel and all that came down. We have observed it in -- by the way, Uganda project, we were very, very right last year not to place the order for steel. I think we have saved a lot of money just to resist to the transition. And so it's again, it's an arbitration for me between the value and speed, and it's a question of managing that. But so I don't see much inflation today even if we have to resist which, by the way, is another good message to Aptiv, which is simplifying the projects and that's good for everybody. Okay.
Irene Himona:
Operator: The next question is from Martijn Rats of Morgan Stanley. Please go ahead.
Martijn Rats: Hi. Hello. I wanted to ask if you could set out a little bit the sort of the triggers or the drivers that would lead to the full payment in the disposal to Suncor. I've noticed that the press release wasn't so all that clear about. But if you could say a few words about that, that will be helpful. And secondly, I wanted to ask if you could perhaps share some of your thoughts on the global LNG market. I noticed that on Thursday and Friday last week, Europe enjoyed all-time high LNG imports, which is, of course, a little bit surprising, given that the price has been going lower and yet the LNG keeps coming. And it's sort of -- it doesn't look like Asian demand is sort of picking up all that much, at least looking at the data that we have access to perhaps in your business, you have earlier in sight. So I was wondering if you're seeing anything in terms of an Asian demand pickup, for example? Thank you.
Jean-Pierre Sbraire: Okay. The additional payments, yes, to be honest, it's quite nothing is classic, I would say. There is a price threshold about which if we reach a monthly payment, a monthly calculation is the price of WCS is reaching a certain level, then there is a multiplier effect by the $1 per barrel and depending also on the production, I would say, out of the bill. So it's quite a classical CVR.  What is good, I mean, what is good from my point of view is that we have five years. So it's 60 months of, I would say, as you know, it's a good -- there is a good chance to get some of it. Just to let you know a calculation, if we would have a one year like 2022, we would have got the full $600 million that's important.
Martijn Rats: Okay.
Patrick Pouyanné: Okay
Martijn Rats: Interesting.
Patrick Pouyanné: Interesting, yes. As I said, global energy market, the benefit today is of our mix of year. We've seen at the beginning of the quarter some demand, even short-term demand picking up. On the price, it's clear but today the market is better. There is -- it's a good time to sign to try to sign some long-term contracts, and we are back to better percentage of brand than in the last years. By the way, this is what we want to do on PNG LNG. You know, today, we are benefiting marketing of PNG LNG in this type of environment is a good timing for us, in fact. So we had a delay, but we benefit from that. I think we are targeting to finalize some long-term sales contract to cover our share of PNG LNG. Then on the other side, on the global market, Europe was more softened than last year because the weather was mild in winter. The storage is limited in capacity. So when the storage are full, it's difficult to put more. So if you have limited and it's a problem for by the way for me -- for Europe, but we don't have a very large capacity of underground storage, in fact, in Europe. So when it to -- so that's why, by the way, we see that in the figures of TotalEnergies, there were less spot deals being done. There was another reason, by the way, about the spot that some strikes in France, the terminal energy – retail terminals in France, where in fact, shut down -- shutdown, but we are not accessible from few – for most of months. But otherwise, I would say, do we see today, if your question is more Chinese demand? It's not too clear to me, to be honest. There is more than last year, but are we back to the 2021 level of Chinese LNG demand is not -- it's a little premature to answer you positively. So we are in between, I would say, at this page 22 and 21 for this Asia demand. But more appetite from many players and it remain by the way the Chinese players, you have seen that they have signed some long-term contracts with Qatar. It's clearly because they are really willing to, I think, to ensure that security of supply. China is importing 40% of natural gas. So it's a good opportunity, and Qatar is benefiting of it, and we are working with them in order to try to secure on the long-term the supply for natural gas. So it's good for LNG.
Martijn Rats: Wonderful. Thank you.
Operator: The next question is from Biraj Borkhataria from RBC. Please go ahead. 
Biraj Borkhataria: Hi. Thanks for taking my questions. So two questions on the Upstream, please. The first one, just on Mozambique. I appreciate you're restarting there. On the other side, they were -- it seems like the operator was considering a second floating facility. I was just wondering from the Total point of view, is that something you've looked at or something you're considering? And then the second question is, just could you just walk me through the kind of plans for 2023 for both Namibia and Suriname? And what are the next steps there heading towards development? Thank you.
Patrick Pouyanné: No. I mean, honestly, when you have Mozambique LNG, huge reserves, the question for us is to develop a scheme where we can really have the potential to take the most of these reserves and so, the floating LNG concept, which is honestly not fully adapted. I think it was quite that, that is the first development, because it was a part of the reservoir, which was not related to the big reservoir that we want to develop. But, for us, honestly, in terms of allocation of capital, if I want to LNG, I prefer to allocate capital for LNG to projects with the potential of upside, because you make much more value with additional points on the -- on a brownfield way, but on a greenfield project. And the limitation for me on the floating LNG scheme is that, in fact, you have the CapEx and then you cannot expand it. We cannot benefit from the additional reserves. So we have enough projects in our portfolio, LNG projects portfolio, not to allocate capital to floating LNG, because we don't see the upside. And again, for me, LNG is a very good cash machine when you can add additional points. Namibia and Suriname. Namibia, we are drilling just now. So we have -- in fact, in 2023, we spent $300 million. We have three wells. Typically, we got two rigs. Three wells, three tests. So in fact, it's a pretty good year. We are just making a second exploration well. Then we'll make an appraisal well of the first discovery and potentially another appraisal well is the -- and the second appraisal well, either on the first discovery or on the second discovery, if it's a discovery. So -- and we'll test, because it's fundamental. We have some good static, I would say, data last year, so very encouraging. This is why we have decided to commit almost half of our exploration budget in 2023. But we need the dynamic of the test results, because when you are a buyer, 3,000 megawatt, either it's -- if it's 15,000 barrels per day per well or 5,000, you don't have the same economics, so it's in economics. So the plan is there. My view is that, with all this data, we'll be in a position to have, by the end of 2023, maybe earlier, but at the end of 2023, to have a good idea of what we have in hand and can we accelerate the time to market to develop the first discovery. On Suriname. Suriname, I think, very -- the last appraisal well is just being drilled. So the good news is that, we are trying to develop an oil pool. The difficulty in Surinam is that the oil to gas ratio is quite high, but so what we wanted to identify although with a low OTGR in order to be able to have an efficient development. It's a development which we combine two discoveries. The first appraisal well for these two discoveries have been positive. So today, it's a pool of around 500-plus million barrel of oil. We are waiting for the last oil well in order to reach 650 peak. And then it will be time to go to development, I would say, after these appraisal wells. We'll have again there a good vision in order to move forward to the next step. So this year, 2023 for both Namibia and Suriname is very important, because for us, it could be -- it will be a next wave of FID – going to FID for growing oil business in the coming -- in the future years.
Biraj Borkhataria: Thank you for the details.
Operator: The next question is from Michele della Vigna of Goldman Sachs. Please go ahead.
Michele della Vigna: Patrick and Jean-Pierre, congratulations on the strong results despite the deteriorating macro. And I really had one question. We've seen a major shift in the renewable power strategies. Both of the oil companies, some of whom are deemphasizing that investment, but also from the utilities who are more focused on financial delivering. And I'm wondering whether you're seeing signs that this shift is starting to restore better profitability, especially in wind but also in solar and perhaps opening up better opportunities for you as well?
Patrick Pouyanné: It's -- I think it's a little premature. What we drive -- it's clear that today, we've -- you had last year some higher cost from the supply chain. Then of course, you have the interest rates, which are going up. And you know, it's a highly leveraged industry. So of course, if you want, at the end of the day to restore profitability, you have to put the price up, which is good, I think, for me, it might -- for players like us, it will create opportunity for sure. We've seen as well on some tenders to be honest, some price, which we are very aggressive in offshore range, which would not understand, which we are probably too low and what is behind, so there -- it's difficult to tell you, I would say, to have a clear and clear answer. I think this will come -- we see higher prices in the negotiation of corporate PPAs in the US clearly. People are more reasonable. And I think on both sides, by the way, the customers and the sellers because everybody -- when you have the direct discussions with some industries or some customers, it's a way to – towards profitability. So that's a good signal from this point of view. Sometimes in tenders, it's different -- what we try to do, by the way, on the corporate PPA in order to restore part of the profitability as well to introduce not only a fixed price PPA for 15 years or 10 years, which honestly is not the best, but we introduce some elements of – some merchant elements in order to share some upside, downside with the customer, which we like knowing our model of TotalEnergies, and this environment gave us more capacity to propose this type of contract. So I think what is true to come back to you is that I think there is a feeling that the rate is more today not to volume, but to value and so it’s little like I think the shale oil industry in the past. So there are more players, looking to profitability widely. When we announced that we are targeting more than 10% for integrated power, I know that people have some doubts but -- and again, it's integrated because of the full value chain, but I'm fully convinced that this will come. It's capital-intensive industry, and there is no way to -- just to think and -- when the money – cost of the money was almost zero, you could find plenty of people ready to accept the low profitability when the price of the money is at 4%, 5% -- you have to add some 4%, 5%, if you want to reach the same profitability. So I think all that will probably help us to restore the profitability and to move from, I would say, an infant industry, so a little more mature industry.
Michele della Vigna: Thank you.
Operator: The next question is from Lydia Rainforth of Barclays. Please go ahead.
Lydia Rainforth: Thank you and good afternoon. Two questions, if I could. And I did want to come back to the Suncor divestment proceeds. Given that you've kept the net investment number the same, is this effect be giving you more acquisition capacity. I just wanted to check where we are on that? And then the second one was coming back to the Integrated Power business, obviously, you've given us lots of helpful data that’s seen that out. It has been very volatile. So, when we're looking at the business, kind of what are the key things that you actually want us to think about from that side? Thanks.
Patrick Pouyanné: On the first one, I would say, yes, and no because again, in our view, when we put our budget for 2023, we plan the spinoff, we plan the spinoff and the company was -- TotalEnergies was planning to allocate part of a certain amount of debt, let's say, $2 billion, more or less to the spinoff. So this $2 billion were the proceeds, which was integrated in our budget. So, I would say -- so it has the change from the monthly -- the view we have of our guidance for CapEx of $16 billion to $18 billion. So, yes of course, we have room for both, again, divestments and acquisitions. We knew that this year, but we will have some, I would say, higher proceeds of divestments, but we have also -- look, we have already spent some money for acquisition. We’ve done the Abu Dhabi deal. We've done -- we will have to sign Eren, we’ll have some renewable deal, which were introduced and the Qatar -- we might have this here, by the way, it's not a question of acquisition, it’s a question of past costs. But in 2023, we'll have -- NFE was delayed to January and we may have as well NFS, so all that is integrated. And again, do not consider the $4.5 billion of proceeds from Canada are extra, but the way we also committed today for our announcement, but the payout will be increased. But part of these proceeds will go to shareholders like it was. So that's I think the point on the first one. On the second one -- yes, it’s volatile, okay? It's volatile, but going up -- the year '22 on the supply side, to be honest, like Jean-Pierre told you was complex because these European governance, government wanted to put some ceiling, so introducing in our account, the ceiling effects and when you have some supply which are done on the spots created the quarter-to-quarter results were not, I would say, a smooth exercise last year. This year, I have the impression that we are more, I would say, in a stable environment, even if you still have some governments which are putting some different schemes, but it's more stable and so, I'm expecting more stability from this last year from this supply business. The renewable part is growing. So I'm expecting more in '23 than in '22. And then part of what could be volatile is linked to the gas price for plants, which were last year, ran at a bit very high rate. This first quarter was good, but not as high as last year because of the mild weather. So this is part of, I would say, a volatile results. When -- so -- we'll see -- I mean, we are -- it's the beginning of the story, and we'll see quarter-after-quarter and to give you some more elements what Jean-Pierre and his teams have done and delivered to you. I think it's at the end of the press release we restated the year 2021 and also the quarters of 2022 in this segment. And I think it's good to kind of engage with my IR team, will be happy to give you more indications or maybe not, by the way, just to help you to see what they can explain you. But I think, by the way, the volatility, the answer will be more from growing and developing the business. It’s the question of the side of this business. But you have noticed that almost $400 million, I think $317 [ph] million is quite sizable. The results is even larger than the one of marketing and services. After five years of development, I think it's a good achievement. So -- we look to that positively and be a source of growth in the future as cash flow.
Lydia Rainforth: Okay. Thanks very much.
Operator: The next question is from Lucas Herrmann of Exane. Please go ahead.
Lucas Herrmann: Yes, thanks very much and thanks for the opportunity. Patrick, I wanted to ask you two questions on the LNG business. The first, there's clearly been increasing talk in Europe of banning or doing something to stop Russian LNG imports into Europe. But I just wonder whether you could make some observations around what's your understanding interpretation and whether -- well, just your position on that. I'm a little confused actually as to whether you were obliged to take volumes into Europe to regasify through the original contract anyway? And the second staying with LNG it goes back to Mozambique. And you have had an agreement or you have contracts signed for pretty much all of the offtake from Mozambique. How is that impacted if at all, or how those agreements impacted, if at all, as a consequence of push out, redoing feed, retendering, et cetera, et cetera, and the delays that are clearly apparent for the off-takers. That was it. Thank you.
Jean-Pierre Sbraire: The Mozambique LNG, I would say, LNG contracts have not been affected until now by all that. Those buyers are still maintaining all the, I think, we did not reach any, I would say, a date where we will be to commit on something at. I think my view is you know that the buyers when you look to different consumers. We have a good contract, but they are in the market. And so we are not, I would say, there is no impact at this stage of this delay on the LNG contract sales contract. By the way, TotalEnergies, we have only today, one of the contracts was discussed or renegotiated, but TotalEnergies took some volumes, and we are ready to take more volumes of Mozambique LNG on our side. On the Russian imports. we, I would say, I'd like to know, we have some long-term contracts, part of this long-term have a destination close, which is Europe, to be clear. Most of them, by the way, out of the 5 million tonnes of long-term contracts that we have committed to I think at least three or four or for other destinations close to Europe. There is also a force majeure clause, which means that if you decide to ban LNG which LNG imports, where we’ve exercised the force majeure clause and we stop importing LNG from Russia to Europe. I've the impression when I'm reading what is that, of course, there is a debate. The debate has rebounded, of course, first, because not much improvement on the situation on the war, I would say. And second, because the European leaders think that today they have taken actions and that maybe buying Russian LNG import is possible. It's not a unanimous position. Some countries are more concerned than others. What is being discussed today, if I understand correctly, the regulation, which is put on the table, which will go to the European Parliament, which could take time, in fact, because sanctions require unanimity and will not go full sanction. There is no unanimity in Basel from that. but if it goes to the -- if I understand the position, it's more about trying to regulate the capacity of Russian players to, I would say, wanted to move some regas capacity in Western Europe. In the future regas capacity. So if this is the case, it's not a ban. And by the way, it does not truly – will not affect our position, to be clear. Then you know our position on that with expect for the sanctions. And but at this stage, as you know, we have a long-term contract with the commitment to use contract, and we have the way and expecting this long-term take-or-pay contract. So if we don't take we'll pay. And again, in the balance of Europe, it was not neutral and last year it was something around 15 million tonnes for [indiscernible] imported from Russia to Europe. So again, we are monitoring that week after week, and we will -- I remember you that we don't hedge for these LNG contracts because we perfectly know but maybe it could happen to us that we'll have to stop and so there is no market position being taken on the LNG from Russia.
Lucas Herrmann: I’m sorry, just to go back to Mozambique and the volumes that you've now taken the portfolio, can you quantify the number?
Patrick Pouyanné: Quantify what?
Lucas Herrmann: Quantify the amount of LNG that you effectively will take into your marketing
Patrick Pouyanné: At this stage, I think it's something like 0.7 million tonnes for TotalEnergies. But again, if some buyers want -- told us that they prefer to grow, we are ready to take more. We are open to that. But some Japanese buyers are also ready to take more of our Japanese friends of Mitsui are also keen. So there are -- there is some appetite. Mozambique LNG is not only a huge reserve, it's well located. It's directly on the Indian ocean to go to some Asian countries. It's quite Indian players, by the way. So I think it's a good geographical position. So right -- no, I'm not afraid about -- start selling this Mozambique LNG. And again, the buyers did not exercise any close vis-a-vis the project.
Lucas Herrmann: Okay. Patrick, thank you.
Operator: The next question is from Matt Lofting of JPMorgan. Please go ahead. 
Q – Matt Lofting:  Hi. Thanks for taking the questions. Two, if I could, please. First, on demand, Patrick, I think you talked LNG specifically earlier, but to the extent financial markets are putting something of a burden of proof on the resilience of global oil and energy demand more broadly here. Are there any areas or subsectors through Total's extensive global downstream business were you seeing any early warning signs on the rate of change in demand and manifesting? And then secondly, could you share any sense of the strength of contribution from the oil and products trading business within the first quarter. Refining & Chemicals reserve and perhaps how you see that trending going forward? Is the industry moves through the immediate effects of the embargo on Russian oil products? Thank you.
A – Patrick Pouyanné: Honestly, there is no, I mean, what we observed in Europe was, of course, some, I would say, energy savings, energy efficiency effect last year, prices were very high. So I would say, Europe has saved 15% of energy demand, because the rates were so high, but a lot of industries. But also, by the way, B2C customers, I say some energy, we've done in a sort of -- we have allocated to our customers in France, a bonus if they were saving more than 5% of their electricity during winter time, we are ready to share with them part of the profit that we are gaining from the, I would say, forward supply. And all of our customers, more than one million customers, 1.2 million, 1.3 million customers have said an average of 15%. By the way, it's more or less the same figure, but we are certain on the manufacturing side, I mean, on the industry side. So there was some impact on energy savings. We last, I think this is -- I think it was really a reaction to the very high price. The gas price was almost $200 per barrel last year in Europe. So today, it has softened. And we begin to see some demand coming back, I would say. So I think there was -- is it order, which is fundamental and not clear. Otherwise, No, I would say we don’t see some softening of the energy demand under the expectation from the own market opportunity is high. And the second question about the question on the share, what we say is has been a surprise. The surprise has been, but clearly -- there are many effects on the ban. There's a big surprise, but in fact, the diesel from Russia was devoted much quicker than expected. I would say the market we are anticipated some impact on the diesel trucks, which are integrated probably. We've seen a lot of players making inventories of diesel before the ban. And in fact, the surprise of the coming months is that the diesel of Russia was quickly diluted to Africa and South America, that was obvious because they were the two importing markets, but also to the Middle East, where some producing countries prefer to buy some diesel with a good discount and to serve the coal with no discount which is by the way, a good transfer of value from Russia to some Middle East countries. But as a surprise, which means that, by the way, the diesel crack is softening clearly because there were high inventories. Now, Russian diesel is there. And the Chinese refineries back full speed, because also they benefit, by the way, from Russian crude with a discount. So this is, I would say, the gap on the Russian crude and diesel has so many effects on different parts of the world and some impact from the global market. This is what we observed. All training, traders, they love volatility. There is a lot of volatility and so I would say they have good results. But in fact, they are very good reserves almost every quarter. So I hope that they will continue. That's my comments.
Matt Lofting: Very good. Thank you, Patrick.
Operator: Next question is from Kim Fustier of HSBC. Please go ahead.
Kim Fustier: Hi, good afternoon. And thank you for taking my question. I've got two, if I may. First one is, I appreciate that you don't comment on rumors, but I'm just curious to hear any thoughts that you can share on the attractiveness of corporate upstream M&A and particularly for producing assets, given that Total has recently been linked to a certain private E&P company. I guess another way of asking that question is, hypothetically, what would you need to see in order to pull the trigger on, let's say, a $5 billion deal in the upstream? And my second question is on Iraq. I just wondered if you could walk us through the updated Iraq integrated energy deal that was announced earlier this month. It seems to be a $10 billion headline investment. But just how is that CapEx going to be phased over the years? Thank you.
Patrick Pouyanné: Okay. Iraq, yes, that was a good news of the -- after my comments in London. I don't know if some people listen to my comments -- but clearly, the government of Iraq confirms the world contract with no modification at all. So I would say, sanctity of contract went through a change of government, it was for me fundamental. So that was, for me, more than a good news. And secondly, we reach an agreement on the way that participating interest could be allocated to an Iraqi party. We have seen that we will invite also partners from Qatar Energy to join us. So that I think it's a good setup. We are finalizing the -- all the paper work with [indiscernible]. 10 billion we spent for the among lets say, four years or four years, we need to be the are faced by the way, phased in the way that the gas flaring, we have to build some trains to fare down the gas that will take to phase. And also on the old bond, by the way, increasing the production will be done in two phases. So let's consider four years with a ramp-up around the year so at the point.  Note a few M&A I don't believe all rumors. People love to use our name. We have demonstrated, I think, in the past that we are able to make good news when the price is good. So I think it's a price of acquisition. And second, I think it's a matter for me as well of synergies. Can you find some synergies in the acquisitions, which will deliver additional value. And the other point which, of course, is important for us is that the deal -- I mean, it makes -- can it – please refer portfolio according to our different position. So we are not trying to fill the gaps generally. We are more trying to be consistent with the strategy. So we'll see, but don't believe all rumors
Operator: The next question is from Amy Wong of Credit Suisse. Please go ahead. 
Amy Wong: Hi, good afternoon. And thanks for taking my questions. I have two of them, please. So one of them is just continuing along the lines of M&A strategy. You've made quite a few chunky, pretty large acquisitions this quarter, an interesting mix across E&P, power integrated gas. So can we take that as an indication of kind of how you're thinking along the lines in the near future? And as a follow-up to that is just tying that with your Scope 1, 2, 3 emissions targets that you've talked about -- and how are those targets to any degree, if any, at all, restricting the way you're looking at acquisitions at the moment that you need to comply with some of those 25 or 20-30 targets that you put out. Thank you.
A – Patrick Pouyanné: The second question is easy. There is no constraint of absolute value. We have a commitment in particular, when we look to hydrocarbons. But any project, either by the way, organic one or acquisition must have an intensity Scope 1 and 2 in intensity of Coz lower than the average of the company, the average company of 2019. So in any project, any M&A should enhanced position in intensity. That's my question now. And then, we manage. And if it's good for the shareholders, it deliver value, we will manage the absolute objective to us to make the effort from other projects. And I think we have demonstrated our capacity to have not only to acquire some assets like we are doing today. By the way, the exit of the Canadian wholesale from that perspective pure CO2 budget I would say, are giving us some space, in terms of CO2. But it's, again, don't consider that, there is a link more for me when we are developing our strategy or integrated power strategy. It's very clear, but this is clear that we want to be able to offer to our customers more decarbonize. I mean, lower range of products, oil, gas and some electricity, but clear that this is a strategy. But by the way, the first question, we have demonstrated. I think this quarter is a perfect demonstration of the balance of our strategy. We can use M&A or organic development, either to go oil like in Abu Dhabi, because we have the opportunity to put in our portfolio, a very low-cost, low-CO2 asset. I think the cost per barrel is a price per barrel production around $7, $8 per barrel. We paid a cost more or less of $4 per barrel. So we think very well prior price for per barrel. So it's fitting perfectly with the strategy. So oil is good when it's fitting with the strategy. We had the LNG in Qatar, which was -- I mean, the investments, which were the results of last year's positioning. And again, it's LNG nuclear, and we have some renewables. So we'll continue to, I would say, feed with organic or M&A all the segments of the company, if there are good opportunities. So for me, the question when we look to M&A. And again, it's not -- today, we have more looks recently to divestment and the merger of an acquisition, I would say. But it's -- we are looking to that. What is the value creation that we can get, not only by paying, but beyond I would say, the initial acquisition payment, but we look at it.
Amy Wong: Okay.
Operator: The next question is from Paul Cheng of Scotiabank. Please, go ahead.
Paul Cheng: Hi. Thank you. Patrick, just if you don't mind, I want to go back into the -- on office sales, is that a competitive or the gas and solar offer that you go out and put it as a as a result as a competitive or that is clearly that is coming in from other people? And have you looked at to break up the asset and sell you individually.
Patrick Pouyanné: No, it's clear. I mean, they were -- I think everything is in the statement. The activities, you just have to read, Paul. I think we said in the statement, we launched the spin-off. There was no bid overnight at all, and we received solicit favorable on solicited offers. So several players, not only one, we did not look at them. We look at them only in the last month when they begin and one of Suncor begin to reach a level that we felt comfortable enough to go to the Board and face the Broad, look, we have this offer, which again CAD5.5 billion to CAD6 billion and at the same time, as we're working hard -- and we're already -- I spent a week, last two weeks ago, I went to Toronto in order to meet some stock exchange management team, so we are working on. So we had a good view of what could be expected from one side -- few alternative and when we -- the alternative, of course, we were to push -- it's our job to push the price up. But I think at the end of the day, again, I prefer Suncor management to comment on their motivation to make the acquisition on their side or north side, again, we think through this process without organizing a bid process, but just being very, I would say, determined to make the spin-off, which we did and that’s an alternative opportunity, like, by the way, I met several shareholders after our last event in London and some of them were expecting a possible outcome from this nature. So I mean – so that’s what we can say. So that's what we've done.
Paul Cheng: Okay. And that in the past, a lot of time you guys comment on what is the trading, we saw the trading environment in the quarter. And you haven't mentioned anything in the first quarter. So should we just assume trading result is more or less average and nothing spectacular in the upside or the downside…?
Patrick Pouyanné: You understand when it is spectacular, we warn you because in the statement. If we say nothing, as I said before, that means that it's very good, but nothing spectacular.
Paul Cheng: Okay, very good. Thank you.
Operator: The next question is from Henri Patricot of UBS. Please go ahead.
Henri Patricot: Yes. Thank you for taking the question. Just one left for me. On biofuels, we've seen some high targets from the EU in recent weeks and including this week on South. I was wondering when I look at your 2030 targets, you mentioned 10% market share with 1.5 million tonnes. Are these numbers -- could these numbers grow both for the overall market size and for your own capacity, or do you see too much of the constraint when it comes to feedstock’s?
Patrick Pouyanné: I thinks – yes, you're right. With 10%, the volume was two million tonnes, which was actually a target 2 million for the South. There’s Europe on one side, there is the US on the other side. So I think we have a plan. We are working in order to develop different units either in the US where the high rate, by the way, giving an interesting framework. So there is a plan to develop projects around both offer. And we have other plants in Europe like Grand Prix, like [indiscernible], which we are looking to other opportunities to develop. It's an attractive market. Having said that, as you know, the constraint is more on the feedstock, because you need to find, I would say, the circular economy, so you need to view it as either waste or second generation, so today, the constraint is more on the feedback, but we are -- I think our coleagues of people are reaching this target of 2 million tonnes per year by 2030, to be positive on us or maybe 1.5 I don't -- okay, we'll see total we are working on it.
Henri Patricot: Thank you.
Operator: The next question is from Giacomo Romeo of Jefferies. Please go ahead.
Giacomo Romeo: Yes. Thank you. First question is just trying to understand the rationale that you led you to increase pay out as a result of the Canadian divestments rather than committing to a fixed payout. And the other question I have, it's more general -- and it's around the emerging legislation in France, and I'd like to hear your thoughts about the tightening the investment criteria for Article 9 pants and explicitly to exclude explicitly investments in positive fuels. And just trying to understand whether you are any sort of involved in discussion with the government in trying to make any changes here. It's obviously totally in our screen is the most popular name and four Article 9 funds investments in oil and gas. I'm just trying to understand a little bit your thoughts here and whether you are engaging discussions with the government.
Patrick Pouyanné: Okay. On the first question, no, I think it's -- again, I explained why the broad. We plan the spin-off. It was announced to a shareholder. So that means that the sort there was a distribution of a dividend in kind, potentially to our shareholders. So it was a form of commitment. So we don't do the distribution in kind. So strongly, we had respect or word, and so it will be done through either I mean, distribution through the payout, the cash payout to whoever buybacks or special dividend at the point. So I think it's quite logic -- and so which translated it at this stage because we prefer to observe what will happen during the year by giving you guidance on the payout, a positive one. I think it's more than 40%, at least 40%. So I think it's positive. So I think that demonstrated that the Board is really committed to the return to to shareholders like said last year. The second question, I has a debate. I'm not sure that exclusion will make the progress of the transition, in particular, because I'm convinced by players like Total Energisa very well positioned to reallocate part of our cash flows to accelerate this transition. If people want to exclude the exclude, the only argument I ask for me is that you had discontinue company. You have the one who are in transition, which we can demonstrate I'm not a big fan of taxonomy, to be honest, because all that is just classification. But I've observed that in some countries like Belgium, they make some caveats on the role stating. But if some companies are really serious about the transition, then it's -- they have to be considered. I'm more in favor, I would say, in a best-in-class philosophy and banning philosophy. This is a repeat I think it should be more encouraging. Then if it's not Article 9, will be article and I think -- but they are also, I would say, from -- and I'm not, I think, investor point of view might be willing to have a pure category of I would say, very clean assets, okay? But it's a question for me, more of organizing the marketing to investors run really a question of regulation. I think there is very a confusion to try to regulate the transition or to organize the transition through financial regulations. I'm not sure if the best way to do it. Again, on our side, this does not affect our strategy, which is very clear and we maintain the growth.
Operator: The next question is from Jason Gabelman of TD Cowen. Please go ahead. 
Jason Gabelman: Yes. Hey. Thanks for taking my questions. I wanted to go back to M&A for a minute. Last year, at your Analyst Day, you talked about an interest in growing your US LNG integrated gas footprint. And I'm wondering, as we try to figure out the use of proceeds from the oil sands asset sale, if that's an area that looks attractive to you either moving into the upstream gas further into upstream gas in the US and/or partnering on an LNG project or two there? And then my second question is on Kazakhstan, some news out of there regarding a potential lawsuit related to recouping costs from the Kashagan project, which you have an interest in. I was wondering if you could provide some comments around that, where that lawsuit it potential liabilities arising from that lawsuit? Thanks.
Patrick Pouyanné: Second question, I have no news more than what you learn. I mean it seems that the government at Kazakhstan wants to reopen old discussions. It's not the first time, but the cost recovery from Kazakhstan, I think, my feeling is that the five IOCs are really united and so we'll face and we have a contract there again. And we will, of course, find a contract be respected by all the parties. So that's my only comment, no view of it. On the first one, I mean, again, don't consider because we divest [indiscernible] to spend the money tomorrow. I mean we can be -- we can also – well I commented I think last -- during our last investor meeting, that is true, that we are looking to see if we can more integrate the buyers position -- the US position. The price of the – where its quite low, but people are still dreaming of the price of last year. And also let's be patient. Things are possible. You know our area of interest –area of interest on but I repeat it just before, it's good oil, it's LNG. It's also renewable downstream. So we are looking to different opportunities in order to create value from the global portfolio.
Jason Gabelman: Thanks.
Operator: Gentlemen, there are no more questions registered at this time.
Patrick Pouyanné: Okay. So thank you very much. Jean-Pierre, gave you all the figures. The results were good. Thank you to all the teams. And thank you for your questions. And see you soon to all of you.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.